Operator: Ladies and gentlemen, welcome to the Wacker Chemie AG Conference Call Q3 2024. I am Alice, the chorus call operator. I would like to remind you that all participants will be in listen-only and the conference is being recorded. The presentation will be followed by Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it’s my pleasure to hand over to Joerg Hoffmann, Head of Investor Relations. Please go ahead.
Joerg Hoffmann: Thank you, operator. Welcome to the Wacker Chemie AG conference call on the 2024 third quarter results. Dr. Christian Hartel, our CEO; and Dr. Tobias Ohler, our CFO, will take you through our prepared slides momentarily. Press release, our IR presentation, and detailed financial tables are available on our webpage under the caption, Invest Relations. Please note that management comments during this call include forward-looking statements involving risks and uncertainties. We encourage you to review the safe harbor statement in today’s press release, the presentation, and the 2023 annual report regarding risk factors. All documents mentioned are available on our website. Chris?
Christian Hartel: Welcome everyone. WACKER is performing well in challenging markets. Despite considerable headwinds, we achieved a strong result in our specialty business and earnings in Chemicals are clearly higher than last year, but remain below our target. As we discussed on the last call, it is still too early to speak about a broad-based recovery yet. Demand remains particularly weak in construction and automotive. Overall, customers continue to be cautious and this is having an impact also on us. In the third quarter of 2024, Group sales came in at about €1.4 billion, down 6% year-over-year. The combined EBITDA of the four operating segments was €198 million, up 17% year-over-year. Group EBITDA is essentially unchanged versus prior year due to the others segment. As a reminder, the others segment EBITDA is largely defined by the CO2 charge, which will be reversed in the fourth quarter. Now, Chemicals EBITDA came in at €155 million, that is up 23% year-over-year and 4% ahead of the previous quarter. Sales for the specialty silicones was markedly higher than the previous year, and volumes remained at the high level achieved during the preceding quarter. This improvement has supported the strong earnings recovery over the past year. EBITDA at €109 million is 2 times higher than a year ago and sequentially higher due to maintenance in the second quarter. In POLYMERS, consumer-related binders are performing well, with strong growth in packaging applications from the plastic to paper trend. However, the regional demand dynamics for construction-related binders are unchanged. We continue to be held back by sluggish demand in Europe and China, but see stronger growth in other regions around the world as we drive the transformation to higher-quality building materials. EBITDA in polymers declined quarter-on-quarter to €46 million, due to a primarily supplier force majeure. In Biosolutions, the new biopharma site in Halle provides us with strong foundation for further growth. Setting up the completely new facility and meeting the highest quality standards in short time underlines our capabilities in realizing complex investment projects. Polysilicon, our resilient semi-business supports results while uncertainty in solar weigh on total volume sold. As we highlighted on the last call, the antidumping, countervailing duties, petitions in the U.S. targeting cell and module manufacturers in Southeast Asia create a situation where customers are in a bit of wait and see mode. In the beginning of October, the preliminary CVD investigation results were released and now the industry is waiting, the outcome of the antidumping duties at the end of November this year. The timing of these investigations has been delayed somewhat and customers may likely wait the outcome of these investigations before normal order patterns resume. Yes, uncertainty remains in solar, but we are convinced that the U.S. will be successful in its reshoring efforts. It will remain a premium market, substantial module and cell capacities are being built, these capacities will need to meet U.S. import restrictions. As a U.S. compliance supplier, we have a unique position to leverage here. In Polysilicon, our focus is on semi. We are preparing to commission our new edging line in Burghausen after fully testing the site virtually with a digital twin. The new line will enable the next generation of chip production and strengthen our leadership position in the industry. WACKER is the benchmark for quality and it’s unique in the market, producing semi products at two sites. This provides our customers with security of supply and supports our high market share. Now, looking to sustainability. At WACKER, our efforts target lowering the footprint of our operations and enabling and improving the performance of sustainable products. You’re committed to reaching NetZero by 2045 and have shown good progress towards achieving this target. One area we must address is unavoidable CO2 emissions from our silicon metal production in Holla, Norway. In the first step, we have already sourced renewable energy and we are now looking to substitute fossil-based reductants with bio-based material. This change would greatly reduce our financial risk exposure to carbon credits, especially as free allowances are gradually phased out. To achieve NetZero, we need to be even more ambitious. We are investigating carbon capture, for example. We just completed a pilot study demonstrating the feasibility of capturing CO2 from our silicon metal emissions. So we can do this. However, what we need is a proper regulatory framework to make these types of innovative solutions a reality and, ultimately, a finally convincing business case. Now, coming to Page 3, and please let me quickly summarize the main takeaways from our recent Capital Market Day in Burghausen. We confirmed the key financial and sustainability targets for 2030. We target €10 billion in sales, an EBITDA margin of more than 20%, and ROCE, that is 2 times our cost of capital. Our strategy continues to evolve and adapt. With this, we wanted to highlight that we no longer have the specific growth targets for a volume mix in Chemicals. We are now clearly focused on margin mix and profitable growth. We will continue to invest in specialty growth and in production efficiency. We are addressing the right trends and are focused on innovation, regionalization, portfolio management, and cost efficiency programs. Those are the levers we pull to drive sales and get our margins back on target. Page 4, our segment targets a focus on profitability and ROCE. In Chemicals, we target an EBITDA margin above 20% and with a ROCE that is more than 2 times our cost of capital. We are away from that today, but we have delivered this before. We will get back there, a focus on high margin specialties and regional opportunities. By rigorously applying a stringent portfolio management process, we focus on the right products and markets. The volume transition from standards to specialties in silicones is done. Now, we need to shift towards more value within the specialties to a stronger, more resilient, more profitable and higher margin portfolio. In Biosolutions, we target an EBITDA margin above 25% and a ROCE clearly above our capital cost. We are setting up the foundation for future growth today. We have invested in new sites. We have made acquisitions to extend the product portfolio and capacities. Now, we need to integrate and fill them. In Polysilicon, we target an EBITDA margin above 30%, and ROCE that is more than 2 times our cost of capital. We have a clear focus on the attractive semi business with upsides in solar. We are growing in semi. Our mix continues to improve, and with that, sort of the resilience of our business. Maintain resilience, you need to be robust, you need to be flexible, you really need to have a toolbox. With our established Shape the Future and WOS efficiency programs, we have a systematic approach here. But there’s more. We have digitalization and automation. With advanced process control and AI, we leverage our deep data pool. We measure, we learn, we become more efficient, and we do that continuously. Also, we leverage regionalization. Our new excellent hub and silicone site in the Czech Republic helps us reduce costs and drive efficiency. By driving specific initiatives in each of these three main areas, we aim to achieve savings of more than €200 million annually. Coming to Page 6, for the next few years, we expect investments to be in the range of €500 million to €800 million per annum. We are looking at smaller individual projects, nothing big upstream. By such a wide range, you may ask yourself, because we have a diversified portfolio. Depending on how markets develop, we can accelerate or slow down. But it’s not just about growth. It is about highly profitable growth. With our four segments, we have competing projects. This gives us the ability to be selective. We will only deploy capital in the most attractive areas. Page 7, our strong balance sheet, that is the foundation. It’s the basis for growth and the basis for dividends. We have a very clear capital allocation priorities growing the company and paying dividends, while maintaining resilient financials. So to wrap it up and before I hand over to Tobias, as you saw in this morning’s press release, we confirmed our full year guidance. We continue to expect EBITDA to be in the upper half of the €600 million to €800 million range. Even though today’s global economic trends remain challenging, we continue to invest in our future. I’m convinced that we are well positioned and we remain committed to our 2030 targets. With our committed team and our innovative products and solutions, we enable the megatrends of today. Now to Tobias for further details on our results.
Tobias Ohler: Thank you, Chris. Welcome, everybody. Looking at the P&L, sales during the third quarter of 2024 came in at €1.4 billion, down 6% year-over-year. The lower sales were driven by Polysilicon with significantly lower solar grade volumes sold. On the other hand, Chemicals and Biosolutions both delivered higher sales, benefiting from higher volumes in silicones and higher biopharma sales. The third quarter group EBITDA was €152 million. While unchanged year-over-year, the underlying performance of the four segments showed different dynamics. Chemicals and Biosolutions both showed a strong year-over-year improvement, while the contribution from polysilicon was lower. The EBITDA loss in the other segment was also higher. So, altogether, EBITDA was on par, but again, very different dynamics at play here. Now, looking at the last line items in the profit and loss, including the contribution from Siltronic, the results from the investments were €7 million. Net income was €34 million. This equates to earnings per share of €0.56. Our balance sheet shows strong financials with €1 billion in liquidity and €4.6 billion in shareholder equity. Net working capital increased by about €370 million compared to the end of last year. This primarily reflects the higher inventory in Polysilicon and the sales development in Chemicals with respect to accounts receivables and lower-trade payables. On Page 10, at Silicones, sales in the third quarter of 2024 were €727 million, up 8% year-over-year and slightly ahead of the preceding quarter. At €109 million in the third quarter EBITDA was 2 times higher than last year’s result. This was primarily due to high specialty volumes, lower raw material costs and better plant loading. The sequential improvement was supported by the second quarter turnaround, which had held us back somewhat and a better mix. Our Silicones outlook for 2024 is unchanged. We expect a low-double-digit percentage EBITDA margin for the full year. Overall, specialty volumes are at an improved level, but margins still remain below target. And as Chris mentioned, we are taking a granular look at our portfolio with a clear aim to focus on high margin applications, where we have the ability to win. Sales in Polymers were €365 million, 7% below last year, mainly driven by lower prices, moving with raw material prices. Compared to the previous quarter, volumes were a bit weaker. The total volume sold of dispersion and powders is comparable year-over-year, with good demand from consumer-related binders offsetting weakness in construction-related polymers. EBITDA at €46 million is below our expectations. This was mainly due a temporary force majeure from an important European ethylene producer. While we were able to quickly pivot to alternative suppliers to keep volumes, this came at a higher than expected cost. For 2024, our full year outlook is unchanged. We expect an EBITDA margin of around 15%. Transformation and regionalization are important growth drivers for Polymers, with only around 25% of global construction binders modified so far. These dynamics support growth in areas like Middle East and Asia, and helps offset continuous weakness in Europe and China. At Biosolutions, sales during the third quarter were €100 million, up 29% year-over-year and on par sequentially. Sales and EBITDA were primarily supported by growth in biopharma. We opened the new mRNA facility at the beginning of June, so this quarter is the first full quarter to reflect the reservation payment. Our full-year outlook for Biosolutions is unchanged. As Chris spoke about, we are setting up the foundation. We have made substantial investments and acquisitions to extend product portfolio and capacity, and now we need to integrate and fill them. All of this comes with upfront costs and low utilization rates at the start. We make these investments because we are confident that we are on the right path. Polysilicon reported sales of €209 million, 10% lower quarter-over-quarter and 39% year-over-year. The primary driver was a significantly lower solar grade volume sold. Our semi business is resilient. Sequentially, EBITDA decreased to €29 million, primarily on lower volume sold. We have updated our full year outlook for Polysilicon. We now expect sales at approximately €1.1 billion with an EBITDA in the range of €150 million to €200 million. This guidance excludes the IRA benefit we expect to book in the fourth quarter. We have lowered our full year guidance due to the ongoing uncertainty in the solar market. Against our previous expectations, the outcome of the antidumping investigations has been pushed back somewhat, with the preliminary results for the AD duties now not expected before the end of November. Now, let’s look at our net financial position. In the first 9 months of 2024, we generated a gross cash flow of €52 million. Gross cash flow was held back by investment in working capital, with investment in inventory totaling approximately €250 million. Cash flow from investing activities was €457 million. The main investments were in increasing our capacity for silicon specialties and our capabilities in semiconductor-grade polysilicon. After the dividend payment of €149 million during the second quarter, we ended the first 9 months with a net debt of €772 million. Before we start with the Q&A, let me summarize. WACKER is well positioned financially and strategically. We are addressing the right trends with the right solutions. We are in a better position today. We have made substantial investments, our asset base is stronger, we have a better regional exposure. Our specialty business is performing well in a challenging market environment. Yes, we know it is difficult with the current economic cycle, the environment is not static, so we need to be dynamic ourselves. We have a high focus on cost and on portfolio management to get margins back on target. Operator, we are now ready to begin the Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Thomas Wrigglesworth, Morgan Stanley. Please go ahead.
Thomas Wrigglesworth: Christian, Tobias, thank you very much for taking my questions. First question, please, is around the Silicones margin. That’s obviously stepped up in the third quarter, but are we in now – is that the maximum level given the economic environment that we think this business can achieve? Or is there more to do in 2025 i.e., is the third quarter a good run rate to think about 2025 profitability in Silicones? Secondly on the Polysilicon business, I wonder if you could talk to the kind of growth that you might expect in the semiconductor business as you ramp up the new plant now. Will you look to shift volumes in 2025 that you would have sold in poly for solar into semi as a result of the new ramp up? Thank you.
Tobias Ohler: Thomas, Tobias here. Yeah, your outlook for Silicones for 2025, I know it is too early and you also know that. But definitely that quarter was much better, but not yet at target level. So, we benefited from much higher silicone specialties volumes, better plant loading also stable pricing. So, we stick to our guidance for this year, where we say we have a low-double-digit margin for the full year at around €2.8 billion in revenue. If you take the first 3 quarters together, we are at 13% on average. So, given the slowdown just from the normal seasonality for Q4, we expect to come out a bit below that 13%, so take just 1 percentage point of that, so we are at 12% for the full year. I mean it is a significant improvement against that poor year of last year 2023, but it’s still a way towards, yeah, mid-cycle I would say, and also still a way to our target margin level that we have which is 20%.
Christian Hartel: Okay, Thomas, on your second question, this is Chris. A growth in semi with our new plant as we communicated several times. So the ramp up of this plant is in a good process. We tested it already virtually and we will see first volumes getting out of that plant by next year. So, that will help us to fuel the growth in semiconductor for our customers. And if you look longer-term, significant volumes of this plant are already under contract because keep in mind, semi business typically is rather long-term oriented. And, I think, I also mentioned in the previous call that we even have some contracts which go into the 2030s already. So a big volume again of this plant is already under contract. The rent depends also a little bit on the qualification time that our customers demand. But they’re very optimistic that this plant is a key pillar of our semiconductor growth strategy.
Thomas Wrigglesworth: Okay. Thank you very much.
Operator: Our next question comes from the line of Matthew Yates, Bank of America. Please go ahead.
Matthew Yates: Hey, good afternoon everyone. I’d like to follow-up on Thomas’s question about what’s happening in Silicones, because there’s not an awful lot of disclosure here. If you remember at the CMD, we had a brief discussion about the sort of the bubble chart that conceptually illustrated the strategy around mix. So, I guess, Q3 was the third time this year that numbers have come in a bit higher than you originally guided. I would have thought part of the move to specialties is intended to give you more visibility from that customer intimacy. So can you just elaborate a little bit more on why either volumes or mix ultimately came in better than you might have thought? And then, I’m going to ask sort of the same question Thomas, but as we think into 2025, you’ve got a lot of new projects starting up all around the world. Can you just elaborate a little bit more on the incremental profit contribution or ramp up of these various plants that you have and that journey back to your midterm margin aspirations and is 2025 quite a significant stepping stone on that journey? Thank you.
Christian Hartel: Okay, Matthew, this is Chris. Let me start with your first question on Silicones. And, yes, indeed, I mean, what we said as a CMD and what I also did in my introduction here, we converted silicones to a specialty business. So standards are not really playing a big role for us anymore. And, now, we go into the second phase of specialization if you want, looking at improving the margins and the quality of the business within that specialty segments. And, yes, you’re right, there is typically more customer intimacy, but there’s also a broader range of products. So from that perspective, the transparency is not changing greatly, and also it’s not changing from one day to another. So that means the expectations we had for the third quarter were also a little lower, but because of the better mix overall, what customers ordered improved our margins.
Tobias Ohler: And then – this is Tobias, yeah, I mean for adding to your question with respect to your 2025 picture, we made some progress on volume recovery and specialties and that helps our profitability level in this year. I think if you look at volume numbers, you get to something around 10% year-over-year, which is significant, but we are not there yet. So, we still have investments that have free capacity. And for next year, definitely we would expect also from the project, as Chris mentioned also, and from some further recovery in markets and other volume growth supporting us. But are we, I mean, in a position to have that visibility, no, because order patterns remain very short. And if you look at the economic indicators for next year, you can read everything, but it’s not about a bullish environment that, yeah, analysts are talking and writing about it. So we need to see how we progress and, as we said, we look at the overall portfolio at a much more granular level and that will support profitability over time.
Matthew Yates: Can I just follow-up on that? So when you took the investment decision on these various projects, whether that’s Charleston, or the Czech Republic, or China, how much confidence did you have or could you have in ramping those projects, particularly in a macro environment in the interim seems to have deteriorated, hence, you’re now focusing more on value over volume. Is the risk here that next year you’ve got a significant addition to the cost space and naturally margins go backwards, because you won’t be able to fill up these plans?
Christian Hartel: No, timing wise some of the plans are not ready for shipments next year. So the Czech Republic project is still in the midst of the, yeah, investment. So there won’t be any additional costs from underutilization. But, yes, I mean, capacity – I mean, Czech Republic, and China, and the U.S., they have, yeah, room for further growth and that’s why we are confident that we can grow the business further, because of all the investments that we also talked about at the Capital Markets Day. And also, Matthew, maybe to add to that, I mean it sounds a little bit blunt now, but the world is never black and white, and at the time when we decided for these investments, there was a huge demand, so essentially it was sold out. And, therefore, the demand is absolutely there and there might be a short-term lesser demand, so to speak, but the demand in these product groups which also fuel in many cases, it fuels higher performance, it fuels sustainability, we see that trend being absolutely intact and that’s why we remain very positive on these investments we did.
Matthew Yates: Okay. Thank you.
Operator: Our next question comes from line of Andreas Heine, Stifel. Please go ahead, sir.
Andreas Heine: Yeah, thanks for the opportunity. I have basically three questions. The first is on prices in Silicone. So you mentioned the main driver was volume and mix but not prices, but there were price increases announced for the third quarter. Does it just take more time that we see them or was it impossible to push them through? That’s the first question. The second in your regional description you talk about growth in Europe and in Americas, but obviously decline in Asia, which I guess is exclusively due to polysilicon. How would the Asian region look for the Chemical business? So if you just talk about the polymers and the silicones business in Asia. That’s the second one. And the last one, in Biosolutions, as far as I remember you have usually seasonality that with the fulfillment of projects Q4 is usually the strongest. Is that also what we will see this year? So is that getting somewhat stronger for Q4? Thanks. These are my questions.
Tobias Ohler: Yes, thanks for your questions. I would start with the first two. First on pricing in Silicones. They were flat largely quarter-over-quarter and, I think that is a good sign, because we see higher demand and we have stabilized that pricing also in specialties. Don’t forget that year-over-year we still have a negative both in the standard pricing and in the specialty pricing just from the lower levels outgoing the last year in 2023. So going forward, yes, for sure there must be the ambition to increase prices also to pass on some of the cost inflation that everyone faces in the market, and it will become easier as soon as order patterns also stabilize, and we have a, yeah, better outlook for longer orders. I think the industry is sort of in a – yeah, all players are in the same situation, and we are trying to do the best in that. With respect to the regional development, obviously, you picked that the strongest decline comes from Polysilicon in Asia. So if I look at Polymers, we see growth outside China, but given the construction weakness, China is down. And for Silicones, we do see growth in specialty silicones, which is very pleasing, because – in China, because that is our focus also. Also, given the investment that we are putting into the site. On the standard product side, this is not our main area, so we don’t care too much. It’s about the availability of volumes and then prices are still pretty poor in China. And, I think other Asia is also there’s some growth for Silicones. Well, actually, maybe I’ve been here, because I just came back from India. And so the Indian economy is quite an interesting opportunity for us. And especially if you talk Silicones, but also polymers. There’s a lot of transformation going on in these markets trend to higher quality products. And specifically, Silicones, India is one of the regions where we are the number one ahead of all the competition. Very successful story since 25 years our joint venture there. It’s a very kind of regional approach, so also a good growth rates and profitability here in India. Now, we’re coming to your third question on the Biosolutions. And maybe let me give you a general statement, of course, it’s our smallest division at the moment, which means the fluctuations in numbers percentage wise are typically the highest. We came out with a strong Q3 with roughly 14% EBITDA margin. What is so kind of a little tricky to predict on a quarterly basis is, as you know, bio-ingredient and biosolutions is primarily a project business. Where the payment depends on the final qualification step at the customer, which is not always in our hands. And, therefore, this tends to fluctuate and from that perspective you cannot really make the statement that the Q4 is always the strongest.
Andreas Heine: Okay. Thanks a lot.
Operator: The next question comes from the line of Sean McLoughlin in HSBC. Please go ahead.
Sean McLoughlin: Good morning, or good afternoon, everyone. Sorry. I’m wondering if you could help me just thinking about this bottom-up and looking at your top-line guidance range. I mean, we’re about €700 million below at the 9-month stage, yet you’re guiding to the 6.5, which suggests kind of flattish or nearly flat at the midpoint. If I sum the €2.8 billion in Silicones, €1.1 in Polysilicon, I add €1.5 in Polymers, I add let’s say €400 in Biosolutions and others, I’m still not getting to the bottom end of that guidance range. I mean, what am I missing here and how should we think about seasonality in Q4 across the divisions? Thank you.
Tobias Ohler: Sean, Tobias here. Yes, the midpoint is a challenge. It would really mark a very strong fourth quarter. So, we kept it as a general range and, yeah, I think you picked the right segment numbers. I think, to us important when putting together the guidance is looking at the EBITDA, where we have a range of €600 million to €800 million and, here, we clearly confirm that we see us in the upper half of that range.
Sean McLoughlin: If I may, then, just thinking through into 2025, I mean, how should we think about your views on top-line evolution through next year?
Tobias Ohler: Sean, I think it’s just too early to put it all together. As I discussed, we haven’t seen mid-cycle yet in Chemicals. And, in polysilicon, we have uncertainty that could resolve. And, Biosolutions, we would expect further progress, but we stick to our approach that we look at the numbers when we have better visibility after Chinese New Year and we will publish guidance in the end of February, beginning of March, as always.
Sean McLoughlin: Thank you. And just a last one, if I may, just specifically on [show back] [ph], I understand you may have settled and I know that litigation has been ongoing for a long time. Maybe any comments here?
Tobias Ohler: Sean, as we said in the past, I mean, typically, we don’t comment on specific customer relationships.
Sean McLoughlin: Fair enough. Thank you.
Tobias Ohler: Yeah.
Operator: The next question comes from the line of Chetan Udeshi, JPMorgan. Please go ahead.
Chetan Udeshi: Yeah, hi. I have a few questions actually all on Polysilicon this time. I was just wondering did you comment on IRA benefit. How much have you actually assumed in your guidance? If not, can you just help us understand how much have you assumed in your guidance? The second question was, you talked about cutting production in Polysilicon in Q4. I was just wondering, is your production now aligned with the volume that you are selling in the market. Because we’ve seen, like Tobias, you mentioned €250 million of inventory buildup. I mean should we expect another build-up or are you actually thinking now there should be some reduction in Q4? The other question I was just confused with your guidance on Polysilicon, because even if I take the low end of your guidance, it sort of implies the Polysilicon EBITDA is flat versus Q3 and we just heard from you that you are cutting production which in theory should be a headwind to your earnings. So I’m just curious why the Polysilicon EBITDA is not lower in Q4 versus Q3, of course, before the IRA contribution. Maybe I’ll stop here for now, and I’ll come back if I have follow-up.
Tobias Ohler: Chetan, Tobias here. So I start with the first question on the IRA. So according to the U.S. IRA program, we will receive US$3 per kg and important that we produce and sell starting in 2023, so produce and sell, so we are possibly talking about 2 years. So we expect to receive that payment and we expect to receive that both for semi and solar production volumes, language covers both. But, please remember that when looking at our nameplate capacity and we published that years ago it would be 20kt this was on solar volumes produced. So our total production volume and, respectively, also the same volume is lower than that nameplate capacity for two reasons: first, we have maintenance and had this ongoing in the last year and this year for plant upgrades, so we were by far not running for; and second is, we have focus on semi volume production and as you know and we have talked many times about that that takes a much longer reactor time and the output is lower just due to our mixed strategy. And so, if I put it now together and then I come back to that language, we have to produce and sell the volume. So 2023, we have produced – we have sold some volumes that were produced in 2022. And in 2024, we will have produced some volumes that we will not be able to sell. And if you sum it up, we come to a ballpark number that we book round about €30 million in Q4. And we will book that later in the Polysilicon segment, but today it’s not part of the segment guides as we focus here, yeah, on operational performance, but we have considered that number when we talk about the upper half of the range with respect to EBITDA for the total group. So much for the IRAs.
Chetan Udeshi: Yeah, and then continue…
Christian Hartel: Yeah, I continue – this is Chris, on the production question, Chetan. And, yes indeed, so we have lowered our Polysilicon production in the Q4 and also start a short time work in the beginning of October at the German sites. And as you know, I mean short time work is a kind of government program in Germany, it allows to adjust the utilization rates in line with the demand requirements without reducing your actual headcount. It helps to relieve at least to some of the personnel cost. So how did we do this? And we also have to take into account, keep in mind, the Verbund [ph] structure that we have at our site. So the Polysilicon is linked also with Silicones. That is one part. And the other part, obviously, is the end demand for the material and, currently, we are in the Q4 running at a utilization rate of about two-thirds, because of that lower demand. And still for this Q4, I think we have the preliminary antidumping ruling at the end of November 24 and, I guess, this will also play a role on how the demand will develop. And that’s the reason why we adjusted it to this two-thirds, because there is a chance to sell also volumes after this November 24, when demand might pick up depending on the ruling. So we need to have that kind of flexibility here and also being cautious on the inventory built up. And maybe that also then goes to your question on the guidance, so the lower end of the poly guidance that would reflect a continuation of the Q3 performance with low demand, and the upper end is defined by potentially higher volumes in solar. And we could do this, because we sent the material to our hubs in Asia, so we could be rather quick shipping that material to the customers. And that is an option that would define more the upper end of the segment guidance for Polysilicon.
Chetan Udeshi: But do you expect the working capital to come down significantly in Q4? I mean there is always a seasonality, but also it depends a bit on whether you will choose to build another inventory in Polysilicon or not in Q4? Just curious.
Christian Hartel: That really depends on the volume that we can sell towards the end of the quarter, I mean it could come down. But I can confirm that with the lower utilization rate that we are running in the production from the Verbund perspective. We will definitely not continue to build working capital at the same pace as before. And I think putting that together, there might be a release, but definitely a significant draw on further cash flow.
Chetan Udeshi: Thank you.
Operator: The next question comes from the line of Konstantin Wiechert, Baader Helvea. Please go ahead.
Konstantin Wiechert: Yeah, hi. Thank you so much for taking my question. Maybe I start with a follow-up again on the Polysilicon. Just to clarify here, you just said that on the lower guidance and you imply sort of a sequentially stable development, right? So I don’t really understand how that moves with the EBITDA guidance and your top-line guidance, because I would assume that at the lower EBITDA guidance, we would see another slight decline in EBITDA, but at the same time, the lower end of the sales guidance would imply sort of a 70%-plus increase in sales. So just some clarification on how that moves? And then if I may, and I hope I didn’t miss that one, on the Polymers, maybe if you could break down the moving parts and that division a bit more, because I understand that your supplier OMV declared a force majeure for about a week in August, that you were switching to source from the international pipeline system during that time. But I mean, first of all, have you switched back to the OMV supply by now and then also was that the only item that was impacting the performance in the third quarter or was there anything else because you pointed out sort of a weaker construction volumes as I understood it. But it also seems that Polymers, in general, are lagging a bit behind the performance that we see from Sika or to a lesser extent also from Saint-Gobain, so maybe on that. And maybe if I may squeeze in a third just to add on the semi volume in Polysilicon, we’ve heard again about investments being delayed. So you talked about volumes being secured by contract. So could you give us maybe a bit more color on the phasing over the next 2 or 3 years how we should think in terms of increases in volumes there? Thanks so much.
Tobias Ohler: Konstantin, Tobias here. Starting with the first question on Polysilicon in Q4. I think you could argue that the guidance on sales was approximately €1.1 billion is also a bit rough. I think I attached that also to the overall Group guidance for sales €6 billion to €6.5 billion. Our focus is on EBITDA and we wanted to give you a picture with lowering the guidance that with a delay in the AD/CVD case ruling that we would continue our sales volumes until there is a pickup in demand at similar levels than Q3. That doesn’t mean that we are selling to outside China customers, but lower volumes and these are based on contract prices. So we have slowed down production, which comes with a little bit of underutilization, as Chris mentioned, and this would then if we continue similar sales levels Q3 into Q4 for the entire quarter this would lead us to an EBITDA which is then I mean slightly below the Q3 level and that brings us to the €150 million. If we start selling, we could end up at €200 million as we said, as we have shipped volumes to our Asian hubs and we had seen months where we had sold in the spot market something like we have 5 kilotons just from 1-month to the other. It really depends on how the market develops in the final months after the release of the preliminary duties in end of November.
Christian Hartel: Okay, Konstantin, your second question on the Polymers force majeure, have you switched back to OMV? Yes, we did switch to OMV already. But maybe to better understand the effect which we were facing, so, yes, there is an external supply also a pipeline for ethylene, but typically this is kind of a limited volume so it doesn’t fully replace an OMV shutdown, it replaces only parts. And we use ethylene for two things. We use it, first of all, for our dispersions, which is an integral part of that molecule, but we also use a big share of ethylene for our VAM production. Now, in cases where there is a force majeure on ethylene, typically what we do is we try to obviously to run our polymers business, so the dispersions and subsequently the powders, and we reduce or shutdown the VAM production. And that’s what happened also in this case, so we could continue to buy ethylene at a higher price to run polymers, but we had to buy also volumes on VAM on the spot market, which was the impact also which we saw on the results next to an underutilization, obviously, of that VAM plant and both these factors were the main drivers for less than expected profitability on the polymers. Second question you had on semi volumes for Polysilicon, yeah, as I said, I mean typically we have multi-year contracts, some of them going until the 2030s already or into the 2030s, and typically what we also mentioned a couple of calls is we have a high market share in this segment, because we deliver the best quality of material from two sides now approved by the customers. And, therefore, we are not disconnected from the semi overall demand, but typically our material goes in the higher end applications. And, also, we are typically the higher share supplier, which means that we don’t face these cyclicality of the semiconductor business as might be some of our competitors.
Konstantin Wiechert: Okay. Thank you. And just to clarify any color regarding Polymers and the sort of lagging performance in comparison to sort of your customers.?
Christian Hartel: Yeah. Well, as we said before, we see a little bit a mixed picture for our Polymers business. Now, the dispersion business which goes in many consumer applications like a thesis for the plastic to paper trend, which you can see when you get your Amazon deliveries at home, it’s all paper now. That is actually a growing opportunity for us as a growing business to dispersion, whereas the powder business which is mainly into construction industry is not growing and that might be what you refer to when you hear comment from Sika also on Saint-Gobain, this construction industry, which is lagging behind.
Konstantin Wiechert: Okay. I’ll leave it like that. Thank you so much.
Operator: The next question comes from the line of Jaideep Pandya, On Field Research. Please go ahead.
Jaideep Pandya: Thank you. Yeah, first question, I just want to come back on the IRA benefit, Tobias, as you mentioned about the rule. So just as an average, it feels like you’ve produced and sold 10kt of volume for the relevant IRA benefit. I guess, your capacity is almost 2x of that maybe around 17 or 16kt. So question really is, are you selling more semi volume in 2023, 2024 from Germany? Because, I guess, your semi demand is higher than 5kt a year, roughly speaking. And if so, how much were you selling out of Germany, how much were you selling out of the U.S.? If you can give some qualitative color around it. And the second sort of follow-up to this is, have you been selling any solar volumes from the U.S. plant to the U.S. solar customers? The second question sort of goes back to Chetan’s question, in terms of the appetite for your customers after November 24. Could you see a situation where you suddenly see your international volumes going back to what they were originally before the whole CVD investigation started? And also on top, you finding a new customer for China volumes? Or is your base case in your €200 million upper end EBITDA that you just see demand normalizing for your international market, and really the new business that you will win will have to really come only in 2025? And then my last question on Silicones, could you tell us with regards to specialties, what sort of end markets have seen a meaningful improvement and which end markets are still struggling in the context? And then, also, in terms of pricing, have you seen stabilization in prices? Or are you starting to see some momentum in specialties in prices as well? Thanks a lot.
Tobias Ohler: Tobias here. Jaideep to your questions, I could take the first and the third. With respect to the split and level of details that we provide by plant, I mean, obviously workhouse is a much bigger plant than Charleston, and we run semi at both sides and, obviously, we are producing and selling still more semiconductor material from workhouse than from Charleston, despite that strategy change also to pivot that production to semiconductor. But in addition to semiconductor, we have some solar volumes from the Charleston plant, and we sell these also to customers outside China. We are allowed to do that, which is part of our strategy for the solar business anyhow. And we continue to sell, yeah, to those customers outside China. The third question on the silicone specialties, as I said before, we have seen pricing stabilizing. And I think that’s a good, yeah, base now going forward, as I discussed before. With respect to the segments, the recovery in volumes that I also mentioned year-over-year, it is broad base. But we also had face some weaker segments, as everyone else, for us. Also automotive is weaker, construction remains weak. But in the details, we also have some construction segments that are picking up again. I mean, as you know, our Silicones business is a GDP-plus business, so that’s why any recovery is always broad base.
Christian Hartel: Yeah, and also, I mean another example would be for kind of medical equipment, wood, air, that is actually a growing segment, it’s not the biggest. But, I mean, as Tobias said, it’s really a broad range of applications for the Silicones. Jaideep, maybe questions on the – coming to the question that Tobias already started to answer, are we selling solar volumes to U.S. customers from the Charleston plant? Not really, because they are not really significant U.S. customers on the solar side. We do have talks. There are a lot of announcements going on the wafering site, but these capacities are not yet kind of ready to take material. I guess that will probably take until 2026, I would expect, so that we can sell solar volumes to U.S. customers. What we do in the meantime is we do sell them to customers outside of China. Then, you had your question on the solar volumes going back to historical levels once the antidumping investigation is over. Well, yes, I think also what we said the last time, there is a temporary uncertainty because there’s no clarity on the antidumping ruling. We have clarity on the countervailing, at least preliminary, and here I would comment at least for the Tier 1 producers, the CVD are in a moderate frame of numbers, but now everybody is looking at how the antidumping duties will resolve. It will be the end of November, depending on what the outcome is. There could be demand already in the week after if these numbers are low, but it’s hard to predict and that’s the reason why we prepare with our production on this two-thirds operational utilization level not to build up more inventory, but to be able also to flexibly deliver materials.
Jaideep Pandya: Just one more follow-up for Tobias. What sort of guidance will you give for the CO2 credits this year given now we are very close to you getting the monies?
Tobias Ohler: We always said that we are between €150 million and €200 million that range, take the midpoint and we will get that in Q4. And we have accrued for that in others and already given the credit to the segments and that will reverse once the payment is received in December.
Jaideep Pandya: So you’ve accrued it at a midpoint, right? Just to be clear. That was my question.
Tobias Ohler: Yes.
Jaideep Pandya: Okay. Perfect. Thanks a lot. Thank you.
Operator: The next question comes from the line of Sebastian Bray, Berenberg. Please go ahead.
Sebastian Bray: Hello, good evening, and thank you for taking my questions. So I have three, please. The first is on the theme of the quantum of the size of the Inflation Reduction Act tax credit received for 2023 and 2024 in Charleston. The second is a question about Polysilicon volumes more broadly, and the third is on Biosolutions. I’ll ask them in turn. So my understanding over, correct me if I’m wrong, €30 million, I assume it’s euro rather than dollar tax credit for 2 years of production at a facility that had nominal capacity of close to 20 kilotons a year. I can’t remember any commentary around Charleston being heavily underutilized as a facility. in 2023, which would suggest that either I’ve misheard or something else was going on in the background here. But can you just confirm Charleston was operating at something like 25% of its nominal capacity for the last 2 years, or have I misunderstood something?
Tobias Ohler: No, that’s misunderstood, Sebastian. Tobias here. We have always said that we are running that Charleston plant now on a semi mix. We have qualified it and we have a unique position now for semiconductor customers to have two sides, one in Germany, one in the U.S. That mixed shift leads to a much lower nominal capacity that you can run at the plant due to the longer reactor times required. And we have also said that in 2023 for all this upgrade and for some maintenance, we were not running it for production. We are not disclosing specific numbers on utilization, but I think it’s all in line with what we had said before.
Christian Hartel: And Sebastian, this is Chris. Keep in mind, for the IRA, it is volume produced and sold in that time period. And also in 2023, we did sell some volume which we produced in 2022, which is not eligible to the IRA, but that also gives you some better understanding on that. That’s helpful. Thank you.
Sebastian Bray: And my second one to continue the theme of Polysilicon. If we – the earliest that you mentioned for receiving clarity on tariff policy was the end of November, I believe it’s the 29th announcement from U.S. Department of Trade and Commerce, but there’s no guarantee that the Asian customers then turn around and, say, that we’re going to start producing again. How plausible do you think it is that effectively these volumes take until the second half of next year to really start coming back?
Tobias Ohler: Sebastian, I think we’ve covered that with a guidance range also for the year that if the market don’t pick up after that end of November release of the other duties, we would come out at the lower and it would drag into next year. But we are confident that we will see installation growth in 2025 and we are also confident that there is demand for U.S. compliant material and if it doesn’t recover quickly it will recover later.
Sebastian Bray: That’s helpful. Thank you. And my final one is on the Biosolutions segment. I was thinking about the development of profitability in this business, which has started to improve and looking at some of the biotech peers like Sartorius or Lanza [ph], it looks as if that funding cycle is firming up, but the profitability of a business is still quite a bit below where it was pre-pandemic. And I’m not entirely sure that all of this is because of additional headcount. Has something happened in the legacy chewing gum resin or chewing gum based business that’s still the largest fraction of the sales to my understanding of that segment that has impaired the profitability versus where it was pre-pandemic?
Christian Hartel: No, I think, Sebastian, if you look at the business today and the global footprint of Biosolutions, that is much different than pre-pandemic. So, therefore, I mean, we added a significant amount of sites and production capacities and yet very experienced people that allow us for the future growth. And that is the main difference, I would say, and that is also affecting the profitability at the moment. The legacy business is, it’s not running a straight line, obviously. It goes with very much of the chemical business, but it’s really about new capacities.
Sebastian Bray: That’s helpful. Thank you for taking my questions.
Christian Hartel: Sure.
Operator: Our last question for today is a follow-up coming from the line of Mr. McLoughlin, HSBC. Please go ahead.
Sean McLoughlin: Thank you. If I could just ask you what, in your opinion, would be a result, a determination of the antidumping that results in your customers buying again?
Christian Hartel: Well, I mean, in general, I mean, I would say that the lower it is, the better the outcome because it wouldn’t influence versus the time before we had these discussions. If I look at the numbers for the CVD, if that would be a similar range, I think that would be positive.
Sean McLoughlin: Very clear. And one very quick follow-up. Just coming back to the growth of semi volumes in 2025 and 2026, I mean, how should we think about that evolution?
Christian Hartel: Well, typically, I mean, as I said, with these long-term contracts, there’s some flexibility on volumes, but typically, we have got the contracts with an underlying growing demand. And we are in the process of completing that investment in the workhouse, so-called etching line that provides the purest material that you can produce, and this is the key ingredient for all high-end semiconductor chips. So we have firm contracts also for that volume and that’s why we are very positive also for the growth in 2025 and 2026 in semiconductor.
Sean McLoughlin: Thank you very much.
Joerg Hoffmann: Thank you all for joining us today and for your interest in Wacker Chemie. Our next conference call on the full year 2024 is scheduled to take place on March 12 next year. As always, don’t hesitate to contact the IR department if you have further questions. Thank you.